Operator: Good morning. My name is Katie and I'll be your conference operator today. At this time I would like to welcome everyone to the Buenaventura conference call. [Operator Instructions]. Thank you for your attention. I will now turn the call over to Rafael Borja of i-advize Corporate Communications. Please go ahead sir.
Rafael Borja: Thank you Katie and good morning everyone. Welcome to Compania de Minas Buenaventura third quarter 2016 Earnings Conference Call. Please be advised that today’s call is for investors and analysts only therefore question from the media will not be taken. I would like to introduce our speakers. Joining us from Lima, Peru are Mr. Roque Benavides, Chairman and Chief Executive Officer, Mr. Carlos Galvez, Chief Financial Officer, and members of the company's management team. They will be discussing the results that were previously distributed yesterday. If you have not yet received a copy of this report please visit www.buenaventura.com where there is also a webcast presentation to accompany the discussion during this call. If you need any assistance please contact i-advize New York at 212-406-3693. Before we begin I would like to remind you that during this call, comments made by management may include forward looking statements which are subject to various conditions and uncertainties based on a variety of factors. These forward looking statements may differ materially from actual results. That’s why we ask that you refer to the disclaimer located in their earnings release prior to making any investment decision. And now it's my pleasure to turn the call over to Mr. Roque Benavides, Chairman and Chief Executive Officer of Buenaventura for his presentation. Mr. Benavides, please go ahead.
Roque Benavides: Thank you and welcome to our quarterly conference call of Compania de Minas Buenaventura. In addition to our press release we have a PowerPoint presentation which is the one that I will be using for this presentation. Going to page three the highlight of the third quarter of 2016, we’ll be touching on the production in-line with guidance, lower costs that have been achieved remain sustainable, the dividend payment to be resumed, we expect improvement at El Brocal in the fourth quarter of 2016, and here we are with Gonzalo Eyzaguirre, the CEO of Brocal. Our situation of net debt EBITDA has been reviewed and Tambomayo will start ramping up in December 2016 with positive reports of brownfield explorations and attractive pipeline of projects after Tambomayo. In page four you can see our financial highlights and essentially we have increased in plenty of revenues for the first nine months compared to 2015. We have increased by 13%. Our EBITDA from our own direct operations has increased by 215% which is a substantial increase. Our net income, we’re reporting $82 million of profits for the first nine months of this year and our EBITDA including our affiliates has increased by 54% to $459 million. With [indiscernible] we have a financial highlight. Our net debt to EBITDA has been used substantially and with Tambomayo’s completion will ease free cashflow starting the first quarter of 2017. No additional debt will be needed in the short term and cash preservation remains to be a corporate priority. In page six you can see the calculation of all-in sustaining cost and this obviously has reduced substantially and the costs applicable to sales as well. In terms of gold we have reduced by 12% compared to the first nine months of 2016. In terms of silver, 19%. Very similar in the case of zinc and 29% reduction in copper and this is mainly due to our equity participation in Cerro Verde. In page seven our activity of production for the full year 2016 should be in the order of 634 thousand of gold of which 359 are own direct operations and 275 are from our equity participation in Yanacocha. Our silver production will reach close to 26 million and this is a record for Buenaventura and this is essentially coming from our Uchucchacua mines that have had a terrific year this year with an expanded capacity and with efficiencies that we will show in terms of cash cost. In terms of Zinc as well we have increased and this is due mainly to our participation of our subsidiary [indiscernible], and as I mentioned Gonzalo Eyzaguirre will ask if there are any questions in that effect. In copper we should be reaching 125 thousand tons of copper as at the end of the year. If we analyze mine by mine Orcopampa should be producing in excess of 190 thousand ounce for the full year with i45 thousand for the first nine months of this year. In La Zanja we will producing between 130 and 140 thousand and 37 thousand for the first nine months of this year with an increase of 5% in this quarter. In Coimolache we have had an increase of 14% quarter to quarter from a year ago and we should be producing in excess of 150 thousand ounces of gold from Coimolache. And in terms of Yanacocha we should reach 630 to 660 thousand this year and the first nine months of the year have been 483 thousand. We have had a substantial reduction in this quarter compared to 2015 in the case of Yanacocha and obviously the cost applicable to sales has gone up as well and this has been reported by some analysts in the market. In terms of our silver mines in page nine we have had an 8% increase quarter to quarter from a year ago in Uchucchacua. Our cash costs applicable to sales have been reduced by 18% and 25% if we compare the first nine months of this year. And that is efficiency that we are very proud of reporting. We expect to be producing in excess of 15 million as at the end of the year. In Mallay we have also increased our production and reduced our cost applicable to sales. These are operations that are becoming more and more efficient and that is something that we want to report. In Julcani we will have production in excess of 3 million. The production in quarter to quarter from a year ago has come down slightly by 2% but the costs have reduced as well. We have done a great effort in cost reduction and that is what we are reporting in this conference call. In terms of our copper and zinc production in page 10, copper production due to the expansion of Cerro Verde has increased substantially. We expect this to continue and the costs at Cerro Verde have reduced also in a substantial way. Brocal has finally reached its install capacity, expanded capacity. We were discussing that this week we have had a full week of £23 thousand per day tripled which is a record if I may say in Brocal production. The costs have also been reduced and that is showing some efficiency in terms of copper. In terms of zinc our costs have gone somewhat higher but we expect to reduce those costs towards the future. Just to make a comment on our exploration within our operations in page eleven, we are very excited about the result of the exploration at our Orcopampa mine and will enable us in due time to increase somewhat the current level of production. We are finding a higher grade and wider vein and we are, if I may say, understanding the whole geology of the district and we believe that there is a huge potential as you can see in this drawing in page eleven. At Tambomayo we are almost there. We have 96% progress as of September 2016. Gonzales is with us and he has just been to Tambomayo and exploration and mine development are at 100% progress and the construction is at 93% progress. The project is in line with budget and schedule and the Capex is in the order of $340 million. The following facilities have been completed and commissioned; tailings dam, water dam, power lines and substations, access roads and the crusher and the stock pile area. You can see also some drawings of the tailing dam and the underground work that has been done in a very good way. After Tambomayo we expect to continue with our exploration at San Gabriel and get the approval of the environmental impact tally and the construction should be approved by December 2016. Currently I’m working on the engineering time. Trapiche, we are improving the scoping studies focusing on reachable ore resources and extending the relations with the community that is essential to develop a project. In Yumpag next to Uchucchacua will increase the life of mine of the Uchucchacua district and will be possible due to Rio Seco that will need also to be expanded if we go ahead with Yumpag. Those are the projects that we are working on. There are also some pictures on the advance at Tambomayo and you can see how much we have advanced it. It has been difficult. You have to bear in mind that Tambomayo is located at 4800 meters above sea level and in a very difficult terrain but we have been able to build all this operation and we expect to be in production before the end of the year. With this may I pass if there are any questions that we can answer. Thank you.
Operator: Thank you sir. At this time we will open the floor for questions. [Operator Instructions]. Our first question comes from [indiscernible] from Bank of America.
Unidentified Analyst: Hi. Good afternoon everyone. I have two questions. And the first one is related to the [indiscernible] chart that you presented. Could you just share with us any expectation that you have on the elaborate especially after the completion of Tambomayo? My second question is related to your silver sales in the quarter. As you showed in your presentation silver production was actually up on a quarter on quarter basis but when you look at the volume of silver, silver came down from 5.6five point million ounces in the second quarter to close to 5 million in the third quarter. Is there any explanation for that and what kind of sales of silver should we expect for the next quarter? Thank you.
Roque Benavides: Regarding this [indiscernible] we are taking the total debt consolidated that includes [indiscernible], the debt for Tambomayo development, but includes 100% the debt of Brocal and the subsidiary [indiscernible] hydro power plant. We mentioned specifically that we include that because it’s a different business and we expect to refinance this debt in the long term for the future. But it’s not directed to the mine activity. On the other hand you are taking the consolidated [indiscernible] of our direct operations so this is the way we project. We expect to continue to use the leverage of relationship net EBITDA, we made the final decision to go ahead with the construction of the next project that should -- as soon as we complete the permitting [indiscernible] engineering. Regarding the silver production we’re relying what we told the market at the beginning of the year in another words [indiscernible] will complete it's year and we have now 10 months of operating and two months of forecast that we’re right around the target of 60 million ounces in the case of have [indiscernible] for 1.6 and likewise [indiscernible]. And so we have missing numbers in the cash of silver production in the mines directly operated by Buenaventura's,
Unidentified Analyst: I still have one on the volume of silver because we saw a big decline from the third quarter, in the fourth quarter should we expect to see the volume still in-line with the third quarter?
Roque Benavides: There has been drop in the silver production at Brocal that has to do with the positive numbers. That’s right, probably during the last quarter the area that we were mining in the peak is an area of low grade, silver grade but now we’re going to change for the fourth quarter to an area which the silver rate is higher and we’re going to see an increase in the silver production. Not only for the higher rate but also for the higher production that we’re going to have in tons per day. Right now during the October we had reducing our budget that was 18,000 tons a day, now we’re producing above 20,000 tons a day and it's going to happen the same during the fourth quarter, whereas the production for the fourth quarter is going to be above 20,000 tons a day and same we’re forecasting for the 2017. Our budget will be in 20,000 tons a day.
Operator: Our next question comes from Carlos de Alba from Morgan Stanley.
Carlos de Alba: I had three questions, the first one is in Brocal we saw the cast for sync [ph] in the quarter increasing 12% and it is up 7% on -- so cash possible go in certain went up in the quarter. I was wondering you can give us a sense of how do you see that going forward in the fourth quarter and in 2017. And also when I looked at all in sustaining cost it has been a great achievement the decline that we have seen in the first nine months of the years -- first nine months of last year. However it seems that most of that has coming from higher credits and that only really [indiscernible] has been able to reduce cost of sales on operating basis. So could you tell us how do you see the comparison in the fourth quarter now that silver pricing in particular have been coming down in the last few months, in the last few weeks. And then finally we saw a deterioration in the performance of the affiliates this quarter, maybe Roque or Carlos could you comment how you see that going forward. Thank you very much and good progress on net debt EBITDA.
Carlos Galvez: Regarding the growth of silver [ph] sales in Brocal, yes it is assured that it is due to attributable portion of the cost while we see the silver product. You know that to calculate the gross [indiscernible] you allocate the cost on basis of the volume on sales. So when we see the rate of silver we use the cost applicable to these material. So take the majority of these cost.
Roque Benavides: I also want to add that as -- I’ve mentioned before we were mining during the first an area where we have lower rate, not only silver, the rate in zinc was also lower but that's going to change for the fourth quarter where we have -- we're going to change the area to the center of the deep where the grades are higher. So the cost -- that was mentioned in higher this quarter because the production of fines were lower because of the lower rate but that's going to change during the fourth quarter and it's going to improve that quarter and also next year because the grade will increase and also the total production that we moved to the plant is also going to increase to 20,000. Just to complement the answer in case of the [indiscernible], we're right on target for production to year-end; so we shouldn't see any hiccups in terms of production or costs. And regarding the all-in sustaining cost, well, this is true; the method we refined for our -- perhaps, a company that produces only one -- and you have actually byproduct but in the case of [indiscernible] we are precious little company with an important field of production and this is why we increasing the silver production thereby -- they quote in places dramatically. In terms of the affiliate, essentially in [indiscernible] the cost have reduced and obviously prices are not a company, not -- but eventually we are back in the capacity and doing well. In the case of Yanacocha, we have had some meetings with our friends from Newmont in order to see what we can do in addition to what we are already doing and essentially we will see cost reductions in Yanacocha. But also explorations in Chaquicocha and development of the sulfides at the Yanacocha mine will be part of the future of this mine. We are working on reversing the situation that today is the case for Yanacocha and we are working very hard on that aspect, jointly with the Newmont team. Thank you very much.
Operator: Thank you. Our next question comes from Alex Hakim [ph] from Citi.
Unidentified Analyst: Good morning, and thank you for the call. I have two questions. The first question is on San Gabriel. You mentioned you're expecting a EIA approval in December. My question is whether or not you've already held the community hearings there or not or those are still to come? And my second question is on Cerro Verde; our current copper prices; when do you think that Cerro Verde or when would you anticipate that Cerro Verde could begin to distribute dividends to shareholders? Thank you.
Roque Benavides: In the case of San Gabriel, we expect that in December we will have the audience for approval of the environmental impact study of San Gabriel. I may say and I think it's important to mention that we had another audience in June which went very well and we got support from the community. Now we just use the opportunity to mention that this has been the first audience ever in Peru that was here in Cape [ph], which denotes that most people from the Yankees speak. It's something that shocked us because we thought that many audiences were being done -- we are getting support from the communities and we expect that we hold the information that we will be passing, we should get the environmental impact tally approval by the community and by -- obviously, the authority, the only ones that have to approve this. And the second question was -- on Cerro Verde; if we will give you dividend, we have not received any reference in that respect. Cerro Verde has some debt that is being paid and we are discussing with them the possibility of the -- obtaining some additional -- not additional but changing the financing of this project in order to generate more cash for the shale projects. But at this point in time we have not received any indication that they will be distributing dividends in the short-term but obviously we expect that in 2017 dividend growth should be coming to -- depending on the amount of debt that Cerro Verde will be paying of it's own debt.
Carlos Galvez: If I may add -- for the time being Cerro Verde has paying the repayment of the debt of client -- maximum of the cash flow -- the free cash flow to pay this debt. However, as Roque mentioned, we are working and considering the possibility to establish a permanent leverage in the company once it's convenient for the full cooperation.
Roque Benavides: And I'd like to add also for San Gabriel, another milestone that we hit this month is -- we concluded quite a significant package of land acquisition with the nearby community of Conide [ph], and that will allow us to build the permanent access road into the project. As of today we were using a temporary road and so this is also another milestone for San Gabriel.
Unidentified Analyst: Thank you. That was extremely helpful.
Operator: Thank you. Our next question comes from Botir Sharipov from HSBC.
Botir Sharipov: Hi everyone, thanks for taking my questions. If you don't mind, I'll ask a few of them one by one. Going back to again, Cerro Verde, people reported that the term -- the credit facility balance has declined from $1.8 billion to $1.6 billion, does that mean that they actually repaid the $200 million, that they -- out of $1.8 billion in Q3?
Roque Benavides: Yes, this is Roque. Cerro Verde has already paid $218 million and this is accumulated for you but the main part of this credit facility was the take during the last quarter and this is something that they have manage on the basis of the best option for structural financing of the company.
Botir Sharipov: Okay. Just to reconsult the numbers; my understanding is they had about $30 million on the balance sheet in cash at the end of Q2 and they may have generated $125 million, $130 million in free cash flow this quarter, if I'm not wrong. How did they manage to pay back $280 million?
Roque Benavides: Well, they have generated this cash. Initially they got -- when you see in detail, in principle -- they got $850 million at Houston [ph] facility but they paid in total $568 million, so the net reduction of debt was $280 million. They are generating free cash flow; so as you mentioned they are privileging for the time being, their repayment of the debt.
Botir Sharipov: Okay, thank you. And I guess on grade -- I mean on the performance in Q3; production at Cerro Verde was down quarter-over-quarter; was that attributable to maybe throughput or did the grade come down? And I guess what are the expectations going forward?
Roque Benavides: The Q3 grade has stayed pretty much in line with our brand, around 0.42. It's throughput that is making the difference in Cerro Verde, the expansion is really cushioned the throughput beyond the nominal capacity over the plans, and we agree that they seem easily their nominal capacity.
Botir Sharipov: Yes, I'm just trying to understand why production came down from the second quarter? What was the reason?
Roque Benavides: I'm my opinion, it's just facing -- as you go into open pit, you enter into a different phase and it's just that the timing issue.
Botir Sharipov: Okay. And I guess last one, sorry to force so many questions; but on Tambomayo; if could just tell me how much in CapEx do you spend in Q3 and what's budgeted in Q4?
Roque Benavides: I don't have the exact figure but it was about $40 million during the Q3. In Q4 it will be at the most $10 million but for the completion and fine tuning of this project, this is just a position.
Botir Sharipov: You said 40, right?
Roque Benavides: Yes. Just to compliment -- on Tambomayo, the only remaining work that is -- has been left to finish the complete later in this year and earlier next year is finishing up the camp; and the track shop facility. So those two are the only outstanding -- capital outlays structures that we will build.
Botir Sharipov: Thank you for taking my questions.
Operator: Thank you. [Operator Instructions] Our next question comes from Scott MacDonald of Deutsche Bank.
Scott MacDonald: Good morning guys, just a couple questions for you. Here one on the cost of sales trends and the second one on San Gabriel. So first in cost of sales, which mean you're kind of driving down the total costs from your direct operations so far this year in Q1 and Q2 but then kind of set to spike up again in Q3; I know you've kind of touched on this already but could you give us a little more specifics as to why the cost of sales on your income statements was up so much this quarter? And is that reflective of any kind of setback in your cost reduction efforts?
Roque Benavides: In terms of our cost of sales -- one issue that could impact in that -- we reduced some view to the reduction of our proving charges for instance in the case of our operations in Kulkan [ph] were reduced by 214 tonne -- our charges, new contract. In the case Brocal Marca [ph], we reduced by 63 per tonne, the treatment charges which were renegotiation. We are improving the cost of sales by doing these sort of efforts. The trend will continue but they are not specifics -- if you will like to have a breakdown of the cost of sales, we could share later on. Just to compliment, in the case of the operations which we measure with the cash cost -- the trend is there, we're not -- the cash cost has not increased. We continue to try to drive the cash cost further down.
Scott MacDonald: Okay, well I'm just looking at your income statement compared to Q2 and Q3, the cost of sales were $20 million or so higher; just wondering what was driving that increase?
Roque Benavides: Okay, let me see to it. You are talking about the cost of sales in this quarter -- it was 127 -- you are confirming it -- the second quarter that was; you the figure.
Scott MacDonald: It was 116 in the second quarter.
Roque Benavides: Yes, well that is -- that is for different volumes, you know that there is a variation in the -- it's cost of sales, not cost of production. So that depends on the variation of inventory.
Scott MacDonald: Okay. So it's mainly just timing on this?
Roque Benavides: Yes.
Scott MacDonald: So on a unit basis you're comfortable with the trends continuing downward?
Roque Benavides: That's correct, that's way I mentioned the cash cost which is unit cost, the trending continues. We haven't gone the other way which is that was your concern. We have to eliminate the volume. At this point we're at 400 -- applicable to sales but ounce per tons.
Scott MacDonald: Okay, great. Just on -- switching over to San Gabriel, I don't know if Igor is there but I was just wondering -- I know it's still early but if you give us a sense of when that project might be up and running? And what kind of production rates and costs and CapEx you might be thinking of on a preliminary basis?
Roque Benavides: Yes, basically what we're doing at San Gabriel, we're trying to get all the permitting and all the community issues out of the way first, before we commit to the project. And then the other effort there we are ongoing is the risk in the project, in other words we view with great detail the capital, doing all the proper engineering before we commit the big capital for the project; the main capital I should say. And so this is an ongoing effort and in order to deal with the project; for example, we've driven a 1,000 meters of ramp and we're doing an underground drilling just to double check our model. And then once we do that, the next phase is to start with the engineering which is basic engineering and detailed engineering would be next two phases that this project will go through. And that's potentially what we're doing today. The lesson that we have learned from the Cerro Verde project of doing all the engineering before starting the construction is what we will be applying in the case of San Gabriel. An estimate of the cost of the project is in the order of $400 million to $500 million, but it is early date to say and we will like to do all the engineering that we can do.
Scott MacDonald: Do you give any sense of when it might start up and what kind of production rates you might be able to achieve?
Roque Benavides: Well, we -- I would say that it will be at least two or two and a half years.
Operator: One moment, while we reconnect our speakers. Thank you, we now have our speakers back in conference.
Roque Benavides: Yes, before we had the interruption, I was saying that the San Gabriel should be very probably have yield and strategically with 200,000 and 250,000 ounces per year, that is the estimate at this point of time.
Scott MacDonald: Okay, great. Thanks a lot guys.
Operator: Thank you. Our next question comes from Renen [ph].
Unidentified Analyst: Hi, everyone. A couple of questions; I have two questions here. The first is on Yanacocha. Do you expect any dividends from Yanacocha next year in the same -- similar amount to what was paid this year?
Roque Benavides: No.
Unidentified Analyst: And if it's there -- okay, is there a gold price where Yanacocha would consider rate in dividends?
Roque Benavides: That would be not in this year analogies.
Unidentified Analyst: If there is specific gold price where Yanacocha would consider raising dividends?
Roque Benavides: No, we don't have expectation of dividends in the short-term, we have not discussed any dividend with Yanacocha at this point in time. I would imagine that is the practical goal here to go higher, obviously we have far more important and believe we can stay out but at this point in time, we don't have anything to comment.
Unidentified Analyst: Okay, that's clear, thanks. And also if you can comment on your expectation of CapEx next year, that would be very helpful.
Roque Benavides: Well, the CapEx that we have in budget over next year, it should be over $250 million considering that it should begin construction during the second half of next year. So we are going to tune in something little over $300 million for 2018.
Unidentified Analyst: Okay, that's clear. Thanks.
Operator: Thank you. At this time I'm showing no further questions. And I'd like to turn the call back over to management for closing remarks.
Roque Benavides: Thank you. Thank you for attending this conference. And I will like to address that we also have updated that dividends of 3% issued [indiscernible] November 2016 and we had our board meeting yesterday. And also to hear with you that our board -- we have continued raising and improving copper revenues, we have decided to incorporate again to welcome easy roads. In this respect, we continue working and build succession. In next month, I will be leaving my executive role and the board has decided I will accompany the new management as Chairman of the Board. We would reporting to you in the next few months but this is aligned with our commitment towards the best copper revenue. With this thank you for attending this conference and see you soon. Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. You may now disconnect.